Operator: Good morning and welcome to Monmouth Real Estate Investment Corporation's Second Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded.It is now my pleasure to introduce your host, Ms. Becky Coleridge, Vice President of Investor Relations. Thank you. Ms. Coleridge, you may begin.
Becky Coleridge: Thank you very much, operator. In addition to the 10-Q that we filed with the SEC yesterday, we have filed an unaudited second quarter supplemental information presentation. This supplemental information presentation along with our 10-Q are available on the company's website at mreic.reit.I would like to remind everyone that certain statements made during this conference call, which are not historical facts, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements that we make on this call are based on our current expectations and involve various risks and uncertainties.Although the company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the company can provide no assurance that its expectations will be achieved.The risks and uncertainties that could cause actual results to differ materially from expectations are detailed in the company's second quarter 2020 earnings release and filings with the Securities and Exchange Commission. The company disclaims any obligation to update its forward-looking statements.Having said that, I would like to introduce management with us today, Eugene Landy, Chairman; Michael Landy, President and Chief Executive Officer; Kevin Miller, Chief Financial Officer; and Richard Molke, Vice President of Asset Management.It is now my pleasure to turn the call over to Monmouth's President and Chief Executive Officer, Michael Landy.
Michael Landy: Thank you, Becky. Good morning everyone and thank you for joining us. We hope you're all in good health and handling these difficult circumstances well. First and foremost, much gratitude and respect goes out to all of the medical practitioners, the doctors, the nurses, the technicians, the support teams and everyone else out there working hard on the frontline.Your efforts and sacrifices do not go unnoticed and they are greatly appreciated. I'm pleased to report that our team is healthy and everyone has been doing an exceptional job keeping things on track while working remotely. I cannot be more proud of how well everyone has stepped up during this challenging environment.For decades, our business model has been and continues to be to provide consistent high quality income streams by investing in industrial buildings on long-term leases to investment-grade tenants.At various points in the business cycle, this type of conservative business model is more highly favored than at others, for example, during the global financial crisis, our strong results allowed for our investors to receive uninterrupted cash dividend payments. This is something that very few REITs were able to achieve. Monmouth represented one of the only safe harbors during the Great Recession and we are uniquely positioned to outperform once again.You should recall that prior to the COVID-19 Black Swan event, much more aggressive strategies were favored by the Investment Community. Companies in our sector were deliberately sacrificing occupancy rates for more aggressive leasing spreads.Same-store and ally growth was the biggest factor many look to in ranking industrial REITs, while focusing less on tenant quality, lease duration, and other important factors.Today, tenant quality lease term safety, and stability are once again the predominant focus of the investment community at large. This is just the most recent of many examples illustrating why it is important to stick to strategies that have worked well over the long-term, as opposed to succumbing to short term trends that may appear to work in any given moment until so sooner or later the proverbial tide goes out, and business models truly get tested.Monmouth's assets are mission-critical as some of the strongest companies in the world. Many of our properties are currently seeing record throughput and are working extra shifts due to the stay-at-home environment we're dealing with today.Our consistently high occupancy rate has been over 98% for more than five years and it is currently 99.4%. Our weighted average lease maturity has exceeded seven years for more than six consecutive years, and is currently averaging 7.4 years. At the intersection of quality versus growth, we have always favored quality and our strong results through this difficult period will bear this out.Rent collections have been the most prominent investor concern of late, so let's drill down on that. In March, 100% of our tenants rent payments were received and for the month of April, 99% of rents have been received. While it's still early, thus for May, 93% of rent payments have been received, which is normal given we are still in the first week of the monthTo-date, Monmouth has received very limited requests for rent deferment, representing only 200 basis points of our annual base rent. Of this amount, we've agreed to defer $320,000, which represents just 23 basis points of our annual base rent. This deferred amount is due to be paid by the end of the calendar year.From a portfolio standpoint, during the first two quarters of fiscal 2020, we grew our GLA by 769,000 square feet through the acquisition of two brand new built-to-suit properties at a total cost of $99.4 million.The first acquisition consummated in the first quarter was a 616,000 square foot distribution center leased to Amazon for 15 years. This property acquired for $81.5 million is situated on 79 acres in the Indianapolis MSA.On March 30th, we acquired another property for $17.9 million, consisting of a newly constructed 153,000 square foot distribution center leased for 10 years to Magna Seating of America, the division of Magna International. This property is situated on over 24 acres in the Columbus, Ohio MSA. This acquisition did not contribute to our results this quarter, but we'll do so going forward.Our gross leasable area has now increased to approximately 23 million square feet, representing a 6% increase over the prior year period. As of the quarter end, our portfolio consisted of 116 properties geographically diversified across 30 states. Our acquisition pipeline grew during the quarter to $229.6 million.We now have four built-to-suit development projects, representing 1.5 million square feet currently under construction. Three of these projects have 15 year leases and one has a 20 year lease, resulting in a weighted average lease term of 17.2 years. In keeping with our business model, all of these projects are subject to long-term net leases to investment-grade tenants.Of these four properties, three properties comprising 844,000 square feet or 56% of our pipeline are leased to FedEx for 15 years. The remaining property, consisting of 658,000 square feet, is leased to Home Depot for 20 years.From a timing standpoint, we expect to close on two of these acquisitions for approximately $60.5 million, representing 356,000 total square feet or approximately 24% of our current pipeline during this fiscal year. The remaining two built-to-suit projects representing $169.1 million, containing approximately 1.1 million square feet are expected to close in fiscal 2021.To take advantage of today's attractive interest rate environment, we have already locked in very favorable financing for three of these acquisitions. Combined financing terms for these three acquisitions consists of $85.7 million of proceeds, representing over 64% of the total cost. These financings have a weighted average interest rate of 3%.All three mortgages are 15 years self-amortizing loans. These built-to-suit acquisitions are all well-located state-of-the-art industrial assets that will represent excellent additions to our high quality portfolio.As always, these future acquisitions are subject to satisfactory due diligence and we anticipate closing these transactions upon completion and occupancy. We expect that the combination of our recent acquisitions, along with our increased acquisition pipeline, will contribute positively to earnings in the ensuing quarters.During the quarter, we raised approximately $8.6 million in equity capital through our dividend reinvestment plan of this amount, a total of $1.4 million in dividends were reinvested, representing an 8.6% participation rate. We also raised $37.1 million in net proceeds through our preferred stock ATM program, with the sale of 1.5 million shares of 6.125% Series C preferred stock at a weighted average price of $25.12 per share.As we announced during our last earnings call, this past February, we established a common stock ATM program that provides for the issuance of up to $150 million of our common stock at prevailing market prices. To date, we have not raised any equity through our common stock equity program. And based on current prevailing prices, we do not expect to utilize the common stock ATM program at this time.In March, as the result of the rapid and massive sell off in the broad market, we repurchased 300,000 shares of our common stock for $3.2 million at an average price of $10.70 per share. Subsequent to the quarter end, we purchased an additional 100,000 shares of our common stock for $1.1 million at an average price of $10.66 per share. We ended the quarter with a strong balance sheet, completely unused bank line and ample liquidity which will allow us to continue to allocate capital opportunistically.With regards to the U.S. industrial market heading into this downturn, the vital signs with regards to occupancy and rental rates were very strong, consistently registering at or near record levels. New industrial construction is historically been very responsive to shifts in the broad economy. And that has been the case thus far as new construction decreased by over 50% from 320 million square feet in the prior quarter to approximately 140 million square feet currently under construction.Initial reports for U.S. GDP in the first quarter came in at an annual rate of negative 4.8% ending the longest expansion on record dating back to mid-2009. That's the result of much of the economy being shut down. Unemployment Claims have eclipsed 30 million people in just one and a half months. ISM manufacturing readings are deepened contraction mode at 41.5 for the month of April, due to the demand destruction that comes with a broad economic shutdown.It is too early to say to what extent the new normal will resemble the old. The global health crisis came on fast. And whether it plays out quickly or lingers longer will be the key determinant as to the depth of the destruction.And now let me turn it over to Rich, so he can provide you with more detail on the property level, as well as our progress on the leasing front.
Richard Molke: Thank you, Mike. With respect to our property portfolio, our occupancy stood at 99.4% at quarter end representing a 50 basis point increase from a year ago and a 20 basis point increase sequentially. Our weighted average lease maturity is 7.4 years and our weighted average rent per square foot is $6.28 as of quarterOur weighted average rent is 3% below the national average asking rent of $6.41 per square foot, representing good embedded rent growth potential. From a leasing standpoint in fiscal 2020 five leases representing approximately 410,000 square feet, or 2% of our gross leasable area were scheduled to expire.For the five expiring leases representing 355,000 square feet, or 87% of the expiring GLA have been renewed before lease renewals resulted in a 12% increase in rental rates on a GAAP basis and a 4.4% increase on a cash basis. The weighted average lease term for these four renewals was 4.2 years. The one property that did not renew his lease expired this past February is a 55,000 square foot building in the Hartford, Connecticut MSA.As reported in the prior quarter, this property was under contract to sell for $4 million. However, given the recent uncertain market conditions created by COVID-19, the purchaser terminated the contract during the due diligence period, and this property is now currently being marketed for sale or lease.Out of our entire 116 property portfolio, we currently have only two vacant buildings representing 60 basis points of our total GLA. Both buildings are being actively marketed, and we expect to have more information to share with you in the ensuing quarters. In this most challenging environment, I think it warrants repeating that to-date, we have agreed to only $320,000 in deferred rent to be paid by the end of this calendar year. This amount is only 23 basis points of our annual base rent and handily represents the best rent collection figure reported thus far for the entire REIT sector.Looking ahead in 2021, only 4.4% of our annual base rent comes up for renewal with an all-star tenant base that includes FedEx, Amazon, Coca Cola, Anheuser-Busch, Home Depot, Sherwin-Williams, Siemens, United Technologies, Toyota, International Paper, Beam Suntory and many other great companies. We remain confident that we will continue to report excellent rent collection results. The supply chains and logistic companies are now more critical than ever. Our two largest tenants, FedEx and Amazon are seeing tremendous demand and this demand is likely to continue for the foreseeable future. We look forward to reporting continued strong property level results throughout the year and beyond.And now, Kevin will provide you with greater detail on our financial results.
Kevin Miller: Thank you, Rich. Funds operations or FFO for the second quarter of fiscal 2020 were $20.2 million, or $0.21 per diluted share. This compares to FFO for the same period one year ago of $19.6 million, or $0.21 per diluted share, which is unchanged on a per share basis.Adjusted funds from operations or AFFO were $19.4 million, or $0.20 per diluted share for the recent quarter as compared to $19.2 million, or $0.21 per diluted share a year ago, representing a per share decrease of 4.8% from the prior year period. Sequentially, our FFO of $0.21 per diluted share for the second quarter of fiscal 2020 is $0.01 or 5% higher than our FFO $0.20 per diluted share for the first quarter of fiscal 2020. And our AFFO of $0.20 per diluted share for the second quarter of fiscal 2020 is $0.01 or 4.8% lower than AFFO of $0.21 cents per diluted share for the first quarter of fiscal 2020.The quarterly of the year-over-year $0.01 decline a AFFO is primarily attributable to $2.3 million increase in preferred dividend expense as a result of an increase in preferred shares outstanding.Rental and reimbursement revenues for the quarter were $41.7 million compared to $38.4, representing an increase of 8.7% from the previous year. Net operating income was $35 million for the quarter, reflecting a 7.7% increase from the comparable period a year ago. This increase was due to the additional income related to two of the three industrial properties purchase since the prior period. As mentioned, the third industrial property purchase since the prior year period was acquired on March 30. Therefore, it will not be contributing to our results until the upcoming third quarter.Net loss attributable to common shareholders was $75.1 million for the second quarter as compared to net income attributable to common shareholders of $23.8 million in the previous year second quarter. This decrease in our net income was primarily driven by a $98.6 million variance from an unrealized gain on our securities portfolio of $15.6 million during the prior year quarter to an unrealized loss on a securities portfolio of $83.1 million during the current year quarter.Excluding the effect of this change in unrealized loss, net income attributable to common shareholders would have been $8 million for the current quarter as compared to $8.3 million for the prior year quarter, representing a 3% decrease from the prior year quarter.With regards to the same property metrics, for the current three month period, our same property NOI increased 2% on a GAAP basis and 2.1% on a cash basis. These increases in same property NOI mostly due to a 50 basis point increase in same property occupancy to 99.4%.As of the quarter end, our capital structure consisted of approximately $854.7 million in debt, of which $779.7 million was property level fixed rate mortgage debt and $75 million were loans payable. 91% of our debt is property level fixed rate mortgage debt with a weighted average interest rate of 4.04% as compared to 4.07% in the prior year periods. Our weighted average debt maturity for our property level fixed rate debt was 11.3 years at quarter-end as compared to 11.6 years in the prior year period.Our loans payable consisted of a $75 million term loan that has a corresponding interest rate swap agreement to fix LIBOR at an all-in interest rate of 2.92%. Including the term loan, 100% of our debt is fixed rate with a weighted average interest rate of 3.94% along with a weighted average maturity of 10.7 years. This represents one of the longest debt maturity schedules in the entire REIT sector.Taking our maturities out even further, we also had $429.2 million outstanding on our Series C 6.125% perpetual preferred equity at quarter-end. Combined with an equity market capitalization of $1.2 billion, our total market capitalization was approximately $2.5 billion a quarter-end.From a credit standpoint, we continue to be conservatively capitalized with our net debt to total market capitalization at 33%. Our fixed charge coverage at 2.3 times and our net debt to adjusted EBITDA improved to 5.7 times for the quarter as compared to 6.4 times in the prior year periods.From a liquidity standpoint, we ended the quarter with $35.9 million in cash and cash equivalents and we do not have any borrowings drawn down on our $225 million revolver.In addition, we held $99 million in marketable REIT securities, representing 4.6% of our undepreciated assets with an unrealized loss of $136.1 million a quarter-end. Our securities portfolio currently generates approximately $11.1 million in annual dividends as compared to $14 million in the prior year period.And now, let me turn it back to Michael before we open up the call for questions.
Michael Landy: Thanks, Kevin. Monmouth went into this downturn very well-positioned with a strong balance sheet, a high quality property portfolio, excellent operating fundamentals and a well-covered dividend.Going forward, we are very well situated to not only endure, but to prosper throughout this difficult period. The value of our properties has appreciated substantially over the past decade, as e-commerce demand is increased and online shopping has become an integral part of the retail landscape.The current social distancing environment has now created an even greater move towards online shopping. Because of this surge in e-commerce demand, some of our tenants are running seven day work weeks and increasing their daily shifts, that their services are now more essential than ever.COVID-19 pandemic is also forcing industries and entire nations to rethink their supply chains. Areas of focus going forward will be increasing domestic manufacturing output, greater stockpiling of inventories and less dependence on foreign sources.As a result of these secular shifts, U.S. warehouse and logistics space will greatly benefit from increased demand and continued value appreciation in the years ahead appears likely.We'd now be happy to take your questions.
Operator: [Operator Instructions] And our first question comes from Jeremy Metz of BMO. Please go ahead.
Jeremy Metz: Hey, guys. I guess to start the build issue or deal pipeline changed here in composition. So can you just mention, what happened to the deal that sellout? Do you see it coming back? And then along those same lines here, can you talk about just the pipeline today beyond what you have disclosed here, just so you're seeing Mike any increasing opportunities? Are you fielding more incoming calls today and in the process deals, serious buyers perhaps fall out?
Michael Landy: Very good, Jeremy. Happy to take that question. Before I do just a point of clarification, our press release went out last night and it said our rent collections for this month, month of May were 95% and today, they're already over 95%. In the prepared remarks, which were recorded two days ago, the number I stated was 93%.So that's what happens when you report a number early in the month. It's 93% was a very respectable number relative to anyone else, but it's already above 95%. So I just want to anybody who's trying to reconcile those that discrepancy. It's just timing and it's continuing to head towards the 100%, which we achieved in March and the 99% we achieved in April.As far as your questions Jeremy, one deal fell out of the pipeline. It was in the Pittsburgh market. It was a 10 year lease to Komatsu, which is what we contemplated what we underwrote. For various reasons, they wanted to put a subsidiary on the lease.Monmouth only does long-term leases to investment grade tenants, you see the current environment shows the strength of that business model. So we said, cure of this problem with the lease, either get the parent company in Japan to guarantee it or we're passing and so they're working on resolving that and if they do resolve it, that will come back on the pipeline. But it's off the pipeline now and we ended a 20 year lease with Home Depot under construction in Atlanta, which is where their headquarters is, and that's full steam ahead.So, it's rare that a deal falls off of our pipeline, but in this environment things happen. I don't anticipate anything falling off our pipe, the constructions going forward and every deal on our pipeline currently, all these buildings are deemed essential constructions and construction activity has not slowed down at all.Then as far as opportunities, there's no question that the buyer pool has diminished substantially and so, our deals come to us from array of merchant builders that we have long-term relationships with. And I prefer to continue to do deals with them. It's just been a mutually satisfactory arrangement for decades in some cases, but we do have brokers calling us with deals that we were at the bottom of their list and suddenly we were at the top of their list and we're seeing way more deals because people are opting out of deals, and it's just fewer buyers, which in my mind means cap rates should probably increase.It was very unusual heading into this environment where the cap rates had compressed regardless of asset quality, tenant quality. So you had a long-term lease to invest in great tenants, not trading at significantly lower cap rates than a more challenged asset to a weaker credit and the demand for the properties we do, long-term leases, investor grade tenants will continue to be strong.I suspect with the more challenge stuff, demand will be curtailed substantially in the spread of cap rates will increase. But everybody is favoring sort of portfolio that we own today. Did I tackle everything Jeremy or did I forget anything?
Jeremy Metz: Yes. No, that was great. And then, you alluded to some of this in your opening, but just there's a focus on, we're redundant facilities, safety stock. Are you seeing that -- it's a little early in some of that, but are you at all seeing that filter into demand in some of the body secondary markets that you're in, has that started happening yet or is it a little too early?
Michael Landy: I would say it's a little early, but in the medical supply sector, you're definitely seeing the need for expansion and demand is off the charts. But it's too early to say what will be a secular shift going forward. But I do think the port's that we're reliant on China, U.S. trade will probably see decreased container traffic and the port's that deal with South America will probably see increase and that's been the trend even prior to the pandemic.So, I just think that trend will be exacerbated and we have a lot of assets on the Gulf of Mexico and up the Eastern seaboard, and they were already seeing the shift go from 60% shipping container West Coast versus 40% East coast to more equilibrium and I do think that trend will be more pronounced going forward.
Jeremy Metz: All right. Great. And last one from us. And I know, as I look at the securities book here, not always the best topic to get onto here, but it obviously took a pretty significant shift in the first quarter, but is there a point, where you just decide it's not worth it anymore and just bail on this aspect all together. I guess I’m trying to understand what's the latest thinking here on continuing the whole days. Obviously, I did not wanting to crystallize the loss. But that was the case last year as well, you're looking at it even lower today. So just kind of how are you thinking about this taking it all in on a go forward? I get you're not buying anymore, but at what point do you maybe just look to exit some of this and just reduce it that way. Thanks Mike.
Michael Landy: It's very good. I'll have Gene answer that, but just some broad comments on the topic before I turn it over to Gene. It's important to keep the securities portfolio in perspective of our overall capital stack. We announced over a year ago that we were going to decrease it from 10% of gross assets to 5%. At that time, we stopped buying securities.Of course, if we knew the pandemic was coming, we would have reacted accordingly. But our pipeline today is bigger than the whole portfolio at cost, not the current value, at cost. So you have to have some context of exactly what it means to the overall results of Monmouth. And the logic of having liquid real estate on the balance sheet was liquidity, liquidity, liquidity, and the good news with the portfolio, the one silver lining even though you have to look hard to find it, we used to borrow at 3% to get capital from our securities portfolio 50%, borrowing ability at 3%. That's come down to 75 basis points.So we have property expansions, and I do anticipate property expansions coming, it's very advantageous to fund them with a cost of capital of 75 bps. Gene, I just wanted to get that out there, but please.
Eugene Landy: We still believe with a weak concept. And we've been fortunate enough to be in a sector that is survived the financial crisis now a medical crisis. And some other REIT have not been as for as fortunate, but the weight in the long-term will turn out to be valued depending on the value of their real estate. And we have a lot of phases in the United States. We think we'll get to this crisis as soon as we get the vaccine and even sooner if we get a cure, and then we'll be back to a growth area and some of the stocks we have the portfolio, which we'll know for the realm of really deteriorated because of the crisis. And if you are losing top line, there isn't much management can do the expenses is still there. So we're holding on to the portfolios. But they’ve diminished the point they’re not as significant as they were. And we have in a portfolio some we think highly of. So we can take it a hold, we've held the same stocks for decades. And we know the managements of most of the REITs, and it's something we're going on. We don't like to cover the particular REITs individually because we don't have enough time for that
Jeremy Metz: Gene, Mike thanks.
Operator: Our next question comes from Rob Stevenson of Janney. Please go ahead.
Rob Stevenson: Good morning, guys. Mike, what's expected cap rate on the four properties in the $230 million pipeline today?
Michael Landy: I don't like to give out pipe -- exact cap rates and I know you're really good at triangulating in on them. Let's just say it's substantially above our current dividend rate of low fives. And I'll go even further and say, it's in the low sixes.
Rob Stevenson: Okay. So in line with historical norms?
Michael Landy: Correct.
Rob Stevenson: Okay. What sector does the 320,000 deferred rent operate in? Just curious as to where the pain is within your portfolio?
Michael Landy: Yes, so I know. I'll turn it over to Rich for that. And if I need to chime in, I will. Go ahead Rich.
Richard Molke: So out of the 12, we've had 12 tenants that ask of various industries, but the ones that really needed somehow were our entertainment and retail spots. So that those are the ones that we agreed to add, but we fully expect to get those paid back by the end of the calendar years, we reported, but really not much pain, everything stayed pretty much essential. And they were open to some various degree, so that was really good to see.
Michael Landy: So I could add to that, it's -- for all the industrial REITs. They're seeing the deferment requests come from smaller tenants and smaller buildings, and we're predominantly 200,000 square foot buildings with investment grade tenants. Now we do have some smaller buildings and where the legacy investment grade tenant moved out, we took on whoever would take the space and so that's what we're seeing. The small amount of our portfolio, the smaller tenants in older buildings that are requesting and there's a mandate that businesses are shut down, and we're trying to work with them.
Rob Stevenson: Okay. Kevin, you know, Mike talked about 95% of May rents paid, where are you normally five to six days in a month? What level is sort of normal? Is it right around here? Are you basically getting, 99% 100% of your rents this early in the month typically?
Kevin Miller: Yes. We're right around normal as we normally would be. There's a few tenants whose leases, they pay in the middle of the month. So that's part of it. And then part of it is the rent deferment that we agreed to. So that's part of the five bps that are missing. I'd say it's about half and half. So normally, we probably like around 97%, 98% at this point. So I'd say, most of it is just -- half of it is from, like I said, from deferment and half is.
Michael Landy: But I think that's normal that it would be sluggish. The whole world has slowed down. So checks are just not being cut as fast. Mail is not being delivered as fast as everything slowed down. So I wouldn't expect it to be exactly like a quarter ago.
Rob Stevenson: No, I mean, that's surprising. I mean, I guess the other question here is, what percentage of your tenants are paying electronically that you've already gotten that higher percentage rent, five days into the month versus the percentage of tenants that are old school, mailing you in a check?
Michael Landy: That's a very granular question. I'll take it even further. Some tenants pay early. We probably have June rent for some of our tenants. But Kevin to the 100 basis points, the answer to that?
Kevin Miller: I don't know the answer that, but I would say, most maybe 90% of the tenants pay ACH. And then the rest still pay with checks. But yes, we've received a lot of checks. And there's -- like Mike said, there's a couple of checks that we haven't received and it's probably because the mail is slow. And because they -- some of the checks that we haven't received are not tenants that have asked for deferments and haven’t that they see no effect to their business.So it's probably just maybe the mail being slow and maybe there's a checks sitting out there right now in the office that, we don't get a chance to come into the office as much as we used to. So sometimes it takes a little while to see those checks.
Michael Landy: What we will do is we'll update our presentation, it has two COVID slides. The second one speaks to rent collection, and just watch that bullet point. It was 93. And now it's over 95. And we'll see where it ends up.
Rob Stevenson: So Bezos and Fred Smith are paying by check? What you saying?
Michael Landy: That's correct.
Rob Stevenson: Okay. And then just lastly, for me, you mentioned most of this with Jeremy's question, but just to be clear, there weren't any purchases or sales in the securities portfolio in the quarter or thus far in this quarter other than the reinvestment of the UMH dividends?
Michael Landy: That's correct. Other than the reinvestment of the UMH dividend, and there was one small preferred holding that got redeemed, but those are the changes.
Rob Stevenson: Okay. Thanks, guys. Appreciate it.
Michael Landy: Thank you.
Operator: Our next question comes from Craig Kucera of B. Riley FBR. Please go ahead.
Craig Kucera: Hi. Good morning, guys. It's in the news that FedEx has requested to cut rents an app at some of the retail stores beginning in June. I'm curious about sort of your discussions with them. I know that these buildings are essential, but just sort of any color on those discussions would be useful on kind of where they're heading in that?
Michael Landy: Yes. Sure, absolutely no discussions about deferment of rent with FedEx, in fact, just the opposite. It's all about how to accommodate the incredible demand flowing through our buildings. So it's really apples and oranges to compare Kinko's retail centers that by government mandate are forced to be closed versus essential businesses that are seeing greater than peak season demand at the moment. So two different sectors, two different types of real estate and two completely different situations.
Craig Kucera: Okay. That's what I figured. I'd like to talk about the Home Depot that got added to the pipeline. Can you tell us when that was negotiated? Was that -- were you in discussion and kind of pulling that together, mid-March or was that kind of worked on earlier in the quarter?
Michael Landy: Yes, that was all pre-pandemic.
Craig Kucera: Okay. And I guess, as you think about that and you mentioned that a lot of buyers had probably fallen out. Can you talk about any changes or shifts in maybe what the merchant builders are showing you today for the last month or so?
Michael Landy: Yes, price discovery is uncertain and everybody's out there trying to find out what the new normal is regarding cap rates and I think, the sellers want to wait and see how everything shakes out and we're certainly bidding a premium to pre-pandemic cap rates. And the lenders have set interest rates floor above pre-pandemic pricing and that force come down a little bit already, so it's very uncertain and a lot of people are in a wait and see mode.
Craig Kucera: Got it. One more for me. I mean, just kind of keeping in mind your general comments on buyers and potential buyers out there. Do you get a sense that there's been, any sort of a percentage drop in buyers? I mean, are you think maybe half have been knocked out, more than that less than that just kind of try to handicap that?
Michael Landy: Well, just listening to some of the other industrial recalls, I hear them say that they're not going forward and bidding on deals and backing out of deals. So clearly the buyer pool has been curtailed. And the anecdotal proof I have of that is people I never transact with calling me up to see if I'm interested in deals and I get plenty of deals from my usual sources and thus far I have no need to go down these new avenues. All our transactions are directly with merchant builders, not through the brokerage community, but times like this everyone's our friends suddenly.
Craig Kucera: Do you think you would answer that potentially accelerate your acquisition pipeline, if a broker deal did come to you and was kind of fit all the boxes of being a long-term lease investment, great property etcetera?
Michael Landy: Yes, we're kind of hoping that would happen. Certainly, now's the time to be aggressive and buy, but historically, every portfolio we've seen just doesn't check our boxes. It's very rare that you'll see a portfolio of our caliber properties. But, this is precisely why we have the ATM program, so that we could match fund opportunities should they arise. I do think with FedEx and Amazon, we will be able to continue growth on the trajectory we've historically been on and perhaps even at a greater pace with those two names because they're just seeing demand to an extent that they just cannot even supply the demands. So there will be from those two customers, increased deal flow and we're certainly trying to offset that with Home Depot and other strong credits.
Craig Kucera: Okay, great. Thank you.
Michael Landy: Thank you.
Operator: Our next question comes from Sarah Tan of JPMorgan. Please go ahead.
Sarah Tan: Hi, good morning. I’m just on for Mike Mueller. Just a quick question on funding the acquisition pipeline. I know you guys mentioned the debt capital costs. How can we think about also supplementing that with some equity issuance once you're -- you reach a price that you're comfortable issuing it?
Michael Landy: Kevin, you want to take that?
Kevin Miller: Yes, sure. So, before the pandemic happened, we raised about $37, $38 million in in our preferred stock at a weighted average price of above par about $25.12. So luckily, we filled up the tank pre-pandemic, as you can see on our balance sheet is like $35 million in cash. We have $225 million line of credit with nothing drawn down on that we have available to us and we have the full capacity to do so based on our unencumbered assets. But yes, it depends. So and like you said, we’ve funded three of the four acquisitions already, we have financing 65% on LTV. They're all 15-year self-amortizing loans, weighted average interest rate of a little over 3%.
Michael Landy: It is explained exactly how much over 3%.
Kevin Miller: 3.03%, sorry. I try not to get too granular but I'm so sorry. So, I think we're fully stocked to fund the pipeline.
Sarah Tan: Okay. Thank you.
Michael Landy: Thank you.
Operator: Our next question comes from Michael Carroll of RBC Capital Markets. Please go ahead.
Jason Idoine: Hi, this is Jason on for Mike. I had a question on some of the deferrals granted. So does the 23 bits represent the final amount of deferred of the 200 basis points or is there a portion of that that's still under review?
Michael Landy: Well, I wouldn't say final, every day you read the newspaper, you don't know which way the winds going to be going. So, I would not say final, we hope it's final. But months could become quarters and quarters could become years, but we will have to see. It is a very low immaterial number, so that's the good news. But final is…
Jason Idoine: Yes. So have you guys gone through the full 200 amount -- 200 basis points requested and that was the amount that was deferred from that?
Michael Landy: Correct.
Richard Molke: Correct.
Jason Idoine: Okay. Got it. And then, have you guys seen a continuing flow of further deferral requests or have those started to slow down as we've entered May?
Michael Landy: That's a good question. Now that has come to a standstill. So yes, there was a point where we follow all the other REIT’s and we were curious what would happen there, but now it kind of peaked weeks ago and this week, no requests at all.
Jason Idoine: Got it? Okay. And then have tenants been more active pursuing renewal discussions? I know a few of the other industrial names have talked about retention potentially ticking higher. So I'm wondering how you guys think about this when you look at the 2021 expirations?
Michael Landy: Yes. One tenant did ask for -- to open-up renewal discussions early, which is something we usually don't do. But we are talking to them about one of those blend and extends, but Rich that would be at a higher rent, if I remember correctly?
Richard Molke: Correct.
Michael Landy: Yes. Any others…
Jason Idoine: Okay. And then one quick housekeeping question. So you mentioned that you had five expirations. And then obviously, you've completed the four renewals and you have the one asset, The Kellogg assets that you're looking to sell. So could you just remind me in the supplement it looks like you still have one expiration coming due? Could you just remind me what the situation there is?
Michael Landy: Could you -- it’s not ringing about? Do you have any more information on that expiration?
Jason Idoine: Yes, it looks like it's the 98,000 square foot assets. Let's see. It's the Autoneum North America in Augusta, Georgia.
Michael Landy: Yes, okay. I know what that is. Okay. So that asset was their old building. It's a little complicated, but here's what happened. They moved into a brand new building and the lease has a lot of term left and it's a great asset and everything's fine. The old asset, they asked if they could use it instead of rip it down. They're required to take it down and we said sure. And then, it was a very short amount of time we gave them authorization to use it. But then they wanted to use it for a whole another year, so we charged them for that year. But now it's time to rip it down. So that's something that is a temporary structure and we got rent from it and we looked at is achieving over 100% occupancy on that asset for a year. But now we got to lose that 90,000 square foot structure.
Jason Idoine: Yes, that's not a bad deal at all. So, alright, thank you guys.
Michael Landy: Thank you.
Operator: Our next question comes from Barry Oxford of D.A. Davidson. Please go ahead.
Barry Oxford: Great. Thanks, guys. Mike, you had alluded to when you were talking in your comments about the ATM not really looking to use that right now. How do you feel about the drip program and would you change that?
Michael Landy: Well with the current stock price, we've curtailed both the ATM has not printed a share and the SIP we used to grant waivers and raised as much as $8 million a month and we're not granting waivers. So all it is dividend reinvestment funds coming in right now. And it's a function of pricing, at a higher price. When we feel it's more creative, and it's a function of how big the pipeline is. Then we open these things back up.And the other thing would be the same with the preferred ATM. The preferred, worked really well. We raised over $430 million and that's permanent capital, never matures, and 6% may seem high in the current environment, but you know, the monetary policy is all in. There throwing the kitchen sink and all the appliances at the pandemic issue. And we'll have to see when we get through this deflationary period what inflation looks like.But on the other hand, if we were in a protected low interest rate environment, that perpetual instrument is redeemable in September of '21. And if we could refinance that with a lower cost of capital, we will do so. So we have a lot of options at our disposal, a lot of sources of capital. Gene, Kevin, you want to add to that?
Kevin Miller: With a basically the DRIP and SIP work well, the ATM is a new developments worked well, so well capitalized company and we have sources of new capital. And what we've been trying to tell everyone on this call is the demand for warehouse space is really extreme.We're going in a country where 85% of consumer buying was through retail outlets and 15% on the internet and all of a sudden I've shut down the 85%. And the warehouses that are needed to accomplish this, either in existence. And the people who sell on the internet are very anxious to build additional warehouses.We think they're going to deal with the people they've dealt with for 20, 30 years. And that we're going to need a lot of capital and we'll raise that capital when we get these opportunities.
Barry Oxford: Great. Thanks. Mike, one more question. When you look, I know you don't have a lot of assets out on the West Coast, but when you look at your East Coast assets that are bumping up against the ports, are there any concerns there of some slowing a port container traffic et cetera.
Michael Landy: No, it’s too short term worried. Long term, we will get past this. We will get the economy growing again, the population growing again. Those are great assets. In fact, I'd be concerned if I was in a highly congested area with a different property type, I think people are going to be less desirous of living on top of each other and wanting to move to more rural areas, warmer climates, more business friendly environments. And so, I really like the way our portfolio is positioned for demographic trends going forward.
Barry Oxford: Great. Thanks, guys.
Michael Landy: Thank you, Barry.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Becky Coleridge any closing remarks.
Becky Coleridge: Thank you, operator. I would like to thank everyone for joining us on this call and for their continued support and interest in Monmouth. As always, we are available for any follow up questions. We will be presenting at NAREIT REIT’s week conference next month, which will be a virtual online conference this year. We hope that you will participate as well. We look forward to reporting back to you after our third quarter. Stay healthy everyone and thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. The teleconference replay will be available as soon as possible. To access this replay, please call U.S. toll free, 877-344-7529 or international toll 1-412-317-0088. The conference ID number is 10139462. Thank you and please disconnect your lines.